Operator: Thank you for standing by. My name is Valerie and I will be your conference operator today. Welcome to the Canadian Tire Corporation Earnings Call. [Operator Instructions] Now I will pass along to Karen Keyes, Head of Investor Relations for Canadian Tire Corporation.
Karen Keyes: Thank you, Valerie and good morning, everyone. Welcome to Canadian Tire Corporation's first quarter 2023 results conference call. With me today are Greg Hicks, President and CEO; Gregory Craig, Executive Vice President and CFO; and TJ Flood, President of Canadian Tire Retail. Before we begin, I wanted to draw your attention to the earnings disclosure which is available on the website. It includes cautionary language about forward-looking statements, risks and uncertainties which also applied to the additional material included this quarter to help you better understand the results discussion during today's conference call. After our remarks, the team will be happy to take your questions. We will try to get in as many questions as possible. But ask that you limit your time to one question plus a follow-up before cycling back into the queue. And we welcome you to contact Investor Relations if we don't get through all the questions today. I'll now turn the call over to Greg.
Greg Hicks: Thank you, Karen. Good morning and welcome everyone. I'll start by saying that despite the challenging macro environment, we remain confident that our diligent focus on our better connected strategy positions us well for the short and long-term. Similar to last quarter, this morning, I'll discuss what we're seeing in terms of consumer demand. But before I do, I'll give you some color on our Q1 results. As is typical in the first quarter, our Financial Services segment drove our Q1 results, offsetting a retail segment earnings decline that was driven by a number of factors, including the fire at our A.J. Billes distribution center. The weather in Q1 also did us no favors, especially in Ontario, where a warm winter was followed by a slow start to spring. This, along with a more challenging consumer demand environment, contributed to the decline in comparable sales at CTR. Increased expenses combined with the impact of dealers carrying higher inventory levels into Q1 resulted in a revenue and earnings decline compared to last year which drove our normalized EPS to CAD1. Mark's and SportChek had a successful quarter, both achieving growth in comparable sales compared to Q1 of last year. Mark's also secured its 11th consecutive quarter of growth and we see opportunities to invest in sustaining that growth going forward. Across our business, we continue to manage OpEx well even as we invest to ensure we have the right building blocks in place for the future. As we navigate a constantly evolving economic landscape, our Triangle Rewards and credit card data enable us to keep our finger on the pulse of customer trends. Our credit card data reveals that consumer spending has slowed with spend per member remaining flat relative to Q1 of last year, marking the first slowdown since 2020. The observations we made among our Triangle Rewards members also reflects this downward trend in spending with spending at our retail banners declining across all income groups. Furthermore, we noticed a shift in consumer behavior as customers moved away from best level products in certain categories, such as tires and household consumables towards our better and good level products. The current high inflation rates have led customers to prioritize essential products over higher ticket discretionary ones which as you would expect, has a more market impact on sales of Canadian Tire retail than our other banners. But in a quarter like this one, it is difficult to separate that from the impact of weather. Despite these challenges, we remain focused on delivering value to our customers. We continue to re-orient our tactics, while staying anchored in our better connected strategy to provide more paths to value. The first path is through our Triangle Rewards program. We often talk about the importance of converting shoppers into members as that enables us to provide more value through Canadian Tire Money and offers for the products our members want and need. Our ability to communicate promotions directly to our members through email, our app and relevant one-on-one offers continues to translate into sales and fuels the redemption flywheel and associated spend. When it comes to deepening engagement to drive sales, we now have another tool in our toolbox, Triangle Select which we launched nationally in March. Following a successful beta test of Triangle Select in 2022, the team launched the program nationally. And as of April 30, 22,000 members have signed up and collectively earned nearly CAD2 million in incremental Canadian Tire Money through their Select memberships. And through our recently announced partnership with Suncor, we've expanded the reach of our Triangle Rewards program, providing even more value by giving members more opportunities to earn CTM in a high-frequency category. By expanding the distribution of Canadian Tire Money for more than 200 gas stations to a network of more than 1,800, we're driving more value for Canadians at the pumps, while exploiting more value for our shareholders from an asset we own. The partnership is a win-win for our customers and our shareholders. The second critical path for delivering value to customers is our unique multi-category product assortment. In the quarter, 36% of our total retail sales came from our own brands, a portfolio we are continuing to grow as part of our better connected strategy. At CTR, we are strengthening our assortments, including in our MotoMaster brand with new product launches and expansions. We also recently introduced our Stratus bike brand in a category that is a key driver for our playing division. And our Party City and Petco shop-in-shops continue to drive sales for CTR with sales up 38% and 18% respectively in the quarter. At SportChek, we are building momentum with our Forward With Design brand. We've expanded the styles and colors and introduced an elevated technical apparel line within the brand as well as growing the work leisure range for men. National brands still remain an important part of our assortment, especially at Mark's. Among our top selling national brands, Columbia, Silver and Timberland PRO saw the highest growth among new to CTC customers. Our expanded national brand partnership with Columbia and Levi's in select stores continue to deliver exceptional growth. And we remain focused on finding new ways to deliver more value, including through the recent launch of the Levi's NextGen shop-in-shop in Langley, British Columbia. We know it's not just about having the right products. It's also about showcasing them to our customers effectively and providing a seamless shopping experience which leads me to the third piece of the larger value equation, our omnichannel experience. We're already seeing the impact of our new concept Connect store investments at CTR. In our store projects to date, we are seeing an almost 700 basis point delta in top-line performance relative to a comparable peer group of stores and feedback related to customer experience has improved significantly. We're also seeing increased basket sizes, traffic, higher growth of our own brands and disproportionate growth among our key categories, including Pet, Automotive and Party City, among others. Our One Digital platform is now live across CTR, Party City and Atmosphere with SportChek and Mark's to follow in Q2. We're also providing more convenience by adding new features to our mobile app, including the ability to book auto service appointments and enhance personalization and recommendation features. Our app continues to perform extremely well. In addition to maintaining a solid 4.7 out of 5 in the App Store, we've grown monthly active users by 15% year-over-year to 1.8 million. Finally, on last quarter's call, I mentioned we just launched an express same-day delivery pilot with DoorDash at 10 CTR stores in Ottawa. The initial results have been very strong. Average click to delivery time is just over 2 hours. The program has an NPS score of 80. And we're recovering 100% of the costs. Given the success of the pilot, we plan to expand to the Ottawa Valley in Q2 and have our sights set on taking this program national throughout the back half of the year. While we continue to adjust tax-free to provide more value, we do so within the building blocks of our better connected strategy and guided by our brand purpose. In addition to making life better for our customers, we drove positive social change in Canada during Q1. For example, we launched our Women's Sport Initiative which involved a multi-million dollar investment and the commitment to allocating 50% of our sponsorship dollars to women's professional sports. The response to this initiative was overwhelmingly positive, demonstrating the significant need and demand for this type of funding. Jumpstart had an outstanding quarter, helping more than 250,000 kids across the country, a new record for quarterly disbursements. We also mandated safe sport training for all Jumpstart community grant recipients, resulting in over 5,000 coaches and youth activity leaders, completing their respective support training in Q1. Along with proactively supporting our communities through programs like Jumpstart, we're there to help when disaster strikes. Our thoughts are with those affected by the devastating wildfires in Alberta. In addition to supporting our local stores in the impacted regions, we've made a donation to the Red Cross Alberta Fires Appeal. Many Canadian Tire, Mark's and SportChek stores across our store network will also be accepting donations to the Red Cross at their registers. We continue to demonstrate we're a brand Canadians can trust to do the right thing, reinforcing the strong emotional connection our customers and communities have with us. Our team members too feel this emotional connection to our brand, as demonstrated not only by their outcomes but also their actions throughout the quarter. When the fire broke out at our A.J. Billes distribution center on March 15, our teams flawlessly managed through the high-stressed situation from protecting the health and safety of our team members through a seamless evacuation to managing the remediation efforts. In a matter of days, the team set-up a temporary auto parts distribution center and diverted high-volume SKUs to neighboring DCs to help flow product to our CTR stores. The fire certainly disrupted our operations and performance this quarter which Gregory will speak to during his prepared remarks. But throughout the challenge, we once again witnessed our team's commitment, grit and fortitude and I want to thank them for their incredible efforts. I'm so grateful and proud that regardless of what we're up against, all our team members remain focused on making life in Canada better for all our stakeholders. And with that, I'll pass it over to Gregory.
Gregory Craig: Thanks, Greg and good morning, everyone. As you heard from Greg, Q1 included some one-off events for CTC. So I'll begin my prepared remarks today by providing some additional context on each of these before diving into our operational results. Q1 has historically been a financial services quarter, given it is the smallest retail quarter from an earnings perspective. This quarter was no different with strength in our Financial Services business, offsetting an expected decline in retail. You'll remember that on our last call, we outlined a few items we expected to materialize in Q1. First, we expected CTR dealer shipments to be lower than in 2022 as the dealers drew down on high levels of spring/summer inventory. Second, we anticipated elevated supply chain costs in support of higher levels of inventory as well as increased investment in our better connected strategy. What we could not have expected, however, was the fire at our A.J. Billes distribution center. Our EPS of CAD0.13 reflects the CAD68 million of direct costs incurred in the last 2 weeks of the quarter relating to lost inventory, building damage and clean-up of the DC as a result of the fire. Normalizing for the direct costs related to the fire, the majority of which we expect to recover through insurance in later quarters, EPS was CAD1. In addition to the direct fire-related costs incurred, there were some other impacts. The fire forced us to close 1 of the 3 zones of the DC, slowing shipments out of the other zones and redirecting capacity to other DCs. These inefficiencies and shipment delays effectively cost us around CAD20 million of IBT or approximately CAD0.26 of EPS. The speed at which we're able to get the teams working together to address this unexpected event, further improves the resilience of our model. While our real estate and operations teams still have much remediation work to do, not the least of which is getting a new roof on the building, we are ramping capacity back up every week and our supply chain team has been working closely with the dealers to prioritize getting delayed shipments out. Another item that materialized in Q1 was our exit from our dedicated Ocean Charter contract. We have talked before about how instrumental our supply chain team is and how it is continuing on the look-out for opportunities to improve the business and maximize returns. It was with this lens that we took the decision to exit this quarter the contract. Exiting the contract allows us to lock-in more favorable ocean freight costs going forward and will ultimately be favorable contributor to gross margin. This did, however, result in a one-time cost of CAD13.5 million in the quarter, the equivalent of around CAD0.17 of EPS. Now before I move on to the performance of the business segments, I want to highlight a change that impacts the quarterly phasing of the reported results. This stems from a change in accounting estimate being made prospectively from this quarter related to the company's margin-sharing agreement with the dealers or as we refer to it, the MSA. The most important thing to take away from this change, it has no impact on an annual basis, only on the quarter-by-quarter phasing with a favorable impact in the first 3 quarters which reverses in the fourth. In Q1, this change had a favorable impact on EPS of CAD0.66, flowing from a CAD52 million impact on revenue and margin. As you know, we consider our dealer model to be a significant competitive advantage. And the company's contract with the dealers govern help billions of dollars of margins and expenses are shared between the 2 groups. Previously, one element of this, the MSA, was primarily recorded in Q4. We are now recognizing the revenue and margin associated with this element quarterly. The change results in less variability in the retail gross margin rate going forward and should make forecasting margin somewhat easier. Notwithstanding this, it's important to remember that there will always be business drivers, including sales growth, banner mix or product mix -- product margin that could result in some variability. Now I've given the context of the complexity of the quarter, I'll move on to the performance of the retail business. Retail sales were down 2.8% to CAD3.3 billion. Petroleum contributed to the decline, down 3.9% on slowing volume -- slowing volume growth and lower prices. Retail comparable sales which exclude Petroleum, were down 2.5% overall. All banners were comping off strong growth in Q1 last year and Mark's and SportChek had a particularly strong quarter in a more challenging consumer demand environment. Although outerwear and hard goods sales were lower in some provinces due to weather, Mark's and SportChek increased promotional intensity and that contributed to stronger sales. At Canadian Tire Retail, we saw strength in our non-winter-related categories but comparable sales were down 4.8%, mainly due to the impact of seasonal weather in the form of a warm January and a cold March which affected both our winter and spring seasonal categories, especially in Ontario. Weather-related factors were responsible for the vast majority of the sales decline, impacting our plane, fixing, seasonal and gardening divisions with sales items like [indiscernible] heaters, humidifiers and snowblowers down in the quarter. Outside of the winter-related categories, the business performed well, led by our 2 largest divisions, Automotive and Living. Automotive posted its 11th consecutive quarter of growth with auto maintenance and auto parts offsetting some softness in replacement battery sales given the warmer weather. In Living, our expanded pet offering with new Petco shop-in-shop boutiques now at 385 Canadian Tire locations drove a 20% increase in pet care sales. Home Essentials were also up. As I highlighted earlier, revenue at CTR was down due to lower shipments as dealers worked to normalize spring/summer inventory which resulted in the revenue decline outpacing the sales decline this quarter. On a rolling 12-month basis, sales and revenue growth have now converged as they normally do over time given our dealer model. At SportChek, Q1 comparable sales were up close to 4% against a strong winter season last year. Regionally, growth came out of Alberta and Quebec but Ontario weather was tough for outerwear sales across all brands. The business compensated with growth in athletic, casual and fanwear sales and leverage promo to ensure they kept inventory fresh. At Mark's, comparable sales were up almost 5% in Q1, making this the 11th consecutive quarter of growth. Sales of men's and ladies casual wear up with jeans, men's sweaters and ladies knits being the key drivers. We continue to aim for a healthy mix of national and own brand sales at Mark's and are very happy with how we are delivering on this strategy and how it's continuing to attract new customers to Mark's. Last week, we were delighted to announce we secured 10 Bed Bath & Beyond locations. 6 of these will replace existing Mark's stores in Alberta, BC and Ontario and build on the strong growth we've been seeing out of Mark's. These relocations will expand our footprint and allow us to showcase a broader assortment range. The remaining 4 locations in Ontario, we will be opening up new Pro Hockey Life stores, again, building on the strong growth we've been seeing in that banner. Turning now to Helly Hansen where revenue was almost up 23% in Q1 with another quarter of growth across most channels and regions. Sportswear sell-through of spring/summer was particularly strong in our wholesale channels. E-commerce overall was up 20% and another solid quarter of performance from our U.S. business contributed to this growth. Finally, before I move on to the results from our Financial Services segment, I'll give you some color on our retail gross margin. Our Q1 reported retail gross margin rate, excluding Petroleum, was 35.2% which includes the benefit from the MSA. Excluding this benefit, retail gross margin rate was down 17 basis points. Despite product cost increases compared to last year, CTR was able to maintain its margin rate. The higher promotional intensity at SportChek and Mark's in Q1 did present headwinds but we were able to offset much of them, thanks to strong contribution from Helly Hansen and a generally favorable sales mix among the banners. Looking forward, our product cost comps will become easier and we feel good about our negotiated freight contracts. Margin may vary somewhat quarter-to-quarter but as we have said before, we remain focused on retaining the gross margin expansion we achieved during the pandemic over the long-term, while at the same time, striking the right balance between demand creation and being price competitive to drive value for our customers. I'll now move on to how Financial Services performed in Q1. IBT was almost CAD119 million, down slightly from the all-time high Q1 earnings results over the past 2 years. Revenue was up over last year, while gross margin was down and the business did a good job managing OpEx. Despite slowing credit card acquisition and card spend compared to last year, cardholder engagement remained strong. Gross average accounts receivable was up 10.4%, active accounts were up by 4.4% and average balances were up by 5.8%. Card sales were up 6%, broadly in line with Q4 but down considerably from the 26% growth in card sales we saw last year. Receivables ended the quarter at CAD6.9 billion and the ECL allowance was stable at around CAD897 million. With no increase in allowance in the quarter but a small seasonal decline in ending receivables, the allowance rate finished the quarter at 13%, slightly above Q4's 12.6% but still within our targeted range of 11.5% to 13.5%. Risk metrics are trending as we expected with PD2+ rates back to historic levels of 3.1%. Our write-off rate was 5.3% as it continues to return to more historic levels as the increased investment in new accounts, the key strategic initiative that we outlined at our Investor Day, works its way through the portfolio and mature account performance stabilizes. In the context of ongoing economic uncertainty, we continue to watch the macroeconomic indicators and are ready to play our playbook to manage risk as needed. Employment, a key indicator, remains robust and our portfolio remains healthy and continues to perform well. Moving on to operating expense. You may have noticed that we are now reporting SG&A, excluding D&A, to help illustrate the trends in both lines more clearly. Consolidated Q1 SG&A grew just under 10%, driven by an increase in retail SG&A. Depreciation was up 14%, reflecting our increased level of investments in recent quarters. Operational discipline remains a key focus for us. We continue to find efficiencies in the business. But as has been the case in the past few quarters, SG&A is running at higher levels than previous year. Consistent with the second half of 2022, investments associated with our better connected strategy drove higher IT costs. In addition, our transition to a cloud-based infrastructure means we are expensing more of our IT spend that we've done assortment and we remain in the earlier stages of this transition. As was the case last quarter, we also had higher sales-related labor costs to support growth at Mark's & Chek and higher volume-related costs mainly related to supply chain with our continued need for 3PL capacity. Increase in supply chain costs was mainly driven by inventory growth which started to reverse from where we ended the year. Inventory was up 22% compared to last year versus 30% at the end of Q4. Similar to last quarter, unit cost inflation remained an important contributor to the increase in corporate inventory and to support growth of the direct consumer business, the inventory was up at Helly Hansen. We also continue to have higher levels of corporate inventory at CTR but growth rates have been coming down as we've adjusted our buys for spring/summer categories. We expect to make further progress on reducing inventory levels as we head into the spring/summer season. On the dealer side, inventory levels are now only slightly above last year. Winter categories ended pretty clean. And we will be adjusting our Christmas buys to reflect the fact that dealers ended with slightly higher Christmas inventory. Following the growth on OpEx, our new GTA DC which supports SportChek and Mark's, also drove higher costs as it ramped up and became operational in Q1. I'll end my prepared remarks today by giving you some insight as to what we are expecting for Q2. The operating environment remains uncertain and we will continue to have fire-related headwinds in the second quarter. With the fire remediation at our A.J. Billes distribution center still underway, we expect to incur additional costs in Q2. We will continue to work with our insurer on our claim over the coming months and we'll update you on expected recoveries in our Q2 call. We also continue to see the impact of delayed shipments until at least the end of June. We expect this will be a headwind to Q2 revenue and currently estimate that the impact could be between 150 and $200 million which we expect to recover within the year. In terms of sales performance, early results coming out of the month of April were strong with CTR comp sales just over 3%, recognizing though we still have almost 2 months left in the quarter. As we move to the second half of the year, we will be cycling easier sales comps in our retail business and benefiting from fewer cost and freight headwinds. We continue to believe we are better positioned than we've ever been before to operate with agility and manage our business tightly and as Greg discussed, deliver value to our customers. We remain convinced that our strategic direction is the right one to deliver strong returns to our shareholders over the longer term as we build an even better business. With that, I'll hand it over to Greg for his closing remarks.
Greg Hicks: Thanks, Gregory. There is no question we're in a more challenging consumer environment. Canadians are mindful of how and where they spend as they renew their mortgages and take advantage of their ability to travel, cross-border shop, diamond restaurants and attend sporting events. But as we move from a tough winter into a more seasonable spring and continue ramping up product flow through our distribution centers, the spring/summer sell-through we are seeing, demonstrates the strength of our multi-category assortment to meet the wants and needs of Canadians and the power of the Triangle to deliver the value they are looking for. With that, I'll pass it over to the operator for questions.
Operator: [Operator Instructions] Our first question is from Irene Nattel with RBC Capital Markets.
Irene Nattel: Just listening to the commentary and thinking through how the rest of the year is going to evolve. So we've got consumer demand in which people are trading down from best to better. We've got inventory that you need to work through. We've got higher cloud-based costs. So as you think -- and then, of course, the fire impact. As you think through all these various puts and takes, when do you think we'll be in a position where we actually start to see year-over-year comparisons at the earnings line start to trend positively?
Greg Hicks: Irene, it's Greg. Lots in that question. As Gregory talked about in his prepared remarks, there was a bunch of one-time things that went against us this year and the fire being the biggest one that obviously we couldn't have forecasted. And we're just -- as Gregory said, we're just not at a point in the investigation right now given the safety of the environment to have a true handle on impact. I think we suggested our best forecast right now from a revenue standpoint in terms of how it will hit us, not only will it continue throughout the remainder of Q2 but we indicated the range. But we expect to get that back. So what would need to happen for us not to get it back, we'd have to have a lot of cancellations from our dealers which would be a result of very peculiar and different weather environment for seasonal items. So at this point, as we suggested, our best guess is that -- best forecast is that we will get it back, the revenue. The cost, as we talked about, that impact us pretty significantly in the quarter. We would expect to get all of that back. It's just a timing difference with respect to insurance claims. So it's really tough to look at Q1 from an earnings standpoint given these one-time variables and try to put it into a more normalized state for the balance of the year. We tried to do our best to unpack what was happening at the top-line for you. I think we're seeing -- we're feeling really good about how the strategy is standing up in front of the customer with almost an 800 basis point swing to the positive in CTR from a comp store sales standpoint. And we're ready for any demand environment that comes our way. But it's tough to get the crystal ball out with some of these one-time things impacting us, most notably the fire.
Irene Nattel: And then just thinking through the commentary around April, I guess, the first couple of weeks of May, we have seen the weather turn. As you look at the sell-through at retail, what are you seeing in consumer behavior in response to favorable weather? And I mean, both in terms of aggregate demand but also in terms of the tiers.
Thomas Flood: Irene, it's TJ. Yeah, as we look forward into Q2 here, to your point where we've seen some favorable weather, we've seen the business much more buoyant. As Gregory pointed out, we're up 3% at the end of April. And we like the trajectory of our business where the spring weather has arrived at provinces like Alberta and the Prairies have really been firing. So it's too early. Q1 was such a complex quarter to unpack with all of the weather impacts and then we do see some consumer softening signals as well. So I think once we get through Q2, we'll be in much better shape to kind of really understand the consumer landscape. So I'd say, it's a little bit early to prognosticate where we think Q3 and Q4 is going to land but we really like the trajectory in Q2 at this point. And when the weather has hit, we like the buoyancy we're seeing.
Operator: Our next question is from Tamy Chen with BMO Capital Markets.
Tamy Chen: First, I wanted to ask about the consumer behavior with respect to this trade down. You mentioned re-orienting tactics to provide more passive value. One thing I wanted to ask was, we noticed in one of your more recent flyers in some point in March, you started a new format highlighting essentially that dollar price points or just relatively lower price points. I don't think we've seen you do that before. And I think you followed up afterwards with a subsequent one like this in the following weeks. So can you just talk a bit about this strategy? What prompted you to take this approach? Was it successful? Do you anticipate continuing to do that?
Thomas Flood: It's TJ, maybe I'll take that one. As Greg articulated a little bit earlier, there are a lot of moving parts on the consumer front in Q1 with weather impacts and some of the softening consumer signals. Maybe if I take a step up or a step back here on the promotional front at CTR, we didn't see a material change in behavior with our discounted mix of sales. It was up a little bit and our discount rate was up slightly versus a year ago but both way below 2019 levels. As you would expect and you kind of noticed it here, promotional decisions are made at the category level and we know where to invest and where not to. If it's warm and dry in January, you won't inspire a lot of demand by discounting a car battery or a snow shovel. And similarly, if there's a foot of snow on the ground in March, you're not going to inspire much demand on grass seed. But categories like essentials, cleaning products and things like that, that's where we tend to invest. That tactic you just saw in the flyers, something we've done over the years, probably in the last couple of years, you haven't seen it as much just given some of the supply challenges we've had. But we're going to continue to kind of lean into our capabilities here. We've got very strong promotional capabilities in terms of understanding elasticity curves. And we do expect the promotional activity to get a little bit more intense as we go forward here, particularly in discretionary categories. So, we're going to be watching that really closely. But you can expect us with our capabilities around our Triangle ecosystem and our membership base. We add a ton of value there. The assortment range that we have at good, better, best in almost every category and our ongoing flyer program is how we're going to continue to drive value as we go forward here.
Tamy Chen: And now switching gears a bit to the Financial Services segment. We noticed from the securitized pool, Glacier, that it was disclosed in the beginning of -- for the month of March. We noticed that the net write-off rate was up 50 bps which seemed a bit high on a month-over-month basis. I know the actual write-off rate percentage is still -- I think is still a bit below your historical rate anyway. But I'm just curious just the magnitude of this month-over-month increase. Is this unusual? And does it concern you?
Gregory Craig: I know the external community looks -- it's Gregory here, by the way. I know the team looks at that as a data source. And I think it is a way to get a bit of an interim look. I tend not to look at those drivers on a monthly basis because they're so big. To your point, they're volatile. And it is also a segment of our overall portfolio. To me, I think the right way to look at our -- our write-off rate is what we produce kind of in the overall MD&A which includes all the receivables, not just Glacier, ones that are sold to Glacier. And you're right to say, write-off rates are increased but the reality is we knew this was coming. So the rolling 12 write-off rate right now is at 5.3%. It's up around 120 basis points versus Q1 a year ago. And we've said this was all part of our strategy to frankly grow the account base. Back to our Investor Day, we had probably 2 years of soft new account growth prior to that. And Aayaz and the team have done a great job building out digital capability and the ability just to kind of grow that customer file again. And frankly, we're probably tapping the brakes on Aayaz and team. They probably want to grow faster and we're frankly letting them right now. So this write-off rate performance is right where I would have expect it to be. And I'll just say it's eventually going to climb back to its historic level. I don't -- we normally have a lost rate in our book between 6% and 6.5%. And I think it's just a matter of time before our overall rolling 12 write-off rate gets there. And that is the right way to look at this. I mean, you can use it monthly as a somewhat as of a barometer but I'd be a bit careful is how I would answer the question.
Operator: Our next question is from Luke Hannan with Canaccord Genuity.
Luke Hannan: Maybe sticking with CTFS for a second here. Gregory, you talked in your prepared remarks about being ready to deploy your playbook when it comes to managing the risk in this kind of environment. Have you had to take any actions yet when it comes to maybe limiting credit increases for certain customers or pulling back on granting credit increases in certain jurisdictions? Have you had to, let's say, pull any tools out of that toolbox just yet?
Gregory Craig: It is Gregory here. I think what I would say is a couple of things. One, we've certainly taken our foot off the accelerator in terms of new account growth. I think that is one -- I'll get to your playbook question in a second. But just given some of the uncertainty, I know we have taken our foot off the accelerator a little bit and are more careful around kind of new account acquisition. I would say, that's probably taken effect around the edges. I don't think the team has made a wholesale strategy change and said no credit limit increases or let's look at credit limit decreases on a broad scale. But I think just -- sure, I think it would be safe to say there's tightening going on around the edges around scores for new accounts being slightly higher and limits being granted probably a little bit lower. But Luke, nothing on scale yet is what I would say. And not necessarily geographically focused, i.e., let's look at one jurisdiction or one province and take a specific action there. Now they have the ability to do that if the team gets uncertain. But I wouldn't say they've enacted something that specific yet, just a more general tightening is what I would say.
Luke Hannan: And then for my follow-up here, just on the competitive landscape, we've seen some headlines that some of your, we'll call them, indirect competitors have left Canada or at least scaled back their operations materially. I'm curious to know the white space that's been left behind. Have you been able to take share from those larger competitors or are you noticing small chains or independents stepping up to fill that void? Just curious on your thoughts if there's been any noticeable shifts as a result to those larger players leaving?
Greg Hicks: It's Greg, Luke. Again, I think it's difficult in Q1. I like TJ's commentary with respect to -- it's a very difficult quarter to incent demand for the categories in which we compete. Discounting a car battery at 50% off is probably not going to get anybody off their couch. So really looking at share from the context of Q1 in terms of any shifts is difficult. What we can say is we feel really good about our positioning, Luke. I mean, we're really happy, as we said in our commentary, with being able to pick up the Bed Bath & Beyond leases. We talked about what we're doing with the space. It's about 250,000 square feet of retail space, about 150,000 of that is incremental. And we're very confident in our ability to drive equal to or better productivity on the top-line with the incremental square footage. I would call it a nice kind of tuck-in piece of work. We were active on more but we felt like the price being paid was getting steep. So we feel good about where we landed. We're continuing to be active on a couple of additional lease negotiations beyond the 10. So we'll see where we land. But what I would say to your question is, we just continue to be here with our strong retail portfolio, while many struggle in this country which leads to opportunities like Bed Bath & Beyond or share consolidation opportunities, to your point. Know that we're going to be active in these situations. We've worked really hard to earn the trust of Canadians and developed the capabilities to win in this market. So we're going to continue to play our game and be opportunistic when situations like the Bed Bath & Beyond situation present themselves. That kind of situation definitely fits that opportunistic approach.
Operator: Our next question is from Vishal Shreedhar with National Bank.
Vishal Shreedhar: I was wondering if you could give us some more perspective on your partnership with Suncor, the benefits of frequency and more potential members using Triangle? I think that's clear but should we expect benefit on profitability from better supply contract? And when should we -- if so, when should we see that sort of drop in the P&L?
Greg Hicks: Sure, Vishal, it's Greg. Let me take that and I'll start with the broader -- just the context, I guess, for the agreement. I think I'd start with the strategy that we outlined at Investor Day. Ultimately, we said that we continue to focus on finding ways to add appeal and relevance to our existing network of retail banners participating and trying the rewards. We've talked in previous calls, you and I have talked about being focused on ensuring that our assets are connected first and then think about where the rewards program could go after that. And so we feel like the assets are connected into the program properly, feeling good about the proposition for the customer and maybe even more importantly, we've been working so diligently on the customer data infrastructure and the marketing communications tech stack that kind of lives behind the curtains to be advantaged on an ongoing basis in personalization capabilities. We joke internally that the sophistication of our IT context diagram for our marketing function, as you just would never guess, it's marketing. So we need to make sure that we can add ongoing value and that's what those back-office capabilities are about in terms of sustained personalization capability. So we feel like now is the time and that we're in a good place. We're exploring partnering and the role that it could play in that ultimate objective that I talked about that we outlined at Investor Day. I think for this particular relationship, we're very excited about adding a partner in a high-frequency category. We really think it's going to help relevance for Triangle members. It gives us national coverage in a category that's really important. The timing obviously is really good given the economic environment. So that would be the first part of your question, kind of highest order strategic rationale. As it relates to value, I guess, value streams from the Suncor relationship, there's really the 3 streams. There's the expanded coverage which I just alluded to. Coverage goes from roughly low-50s in terms of having a gas station issuing Canadian Tire Money within a 5-kilometer radius to a Canadian Tire store, 50% penetration to mid-80s. So we think there's a lot more Canadian Tire Money that's going to be issued in the marketplace which will feed our retail flywheel; that's the primary value driver. The secondary value driver is in the fuel supply contract with Suncor. But again, in the grand scheme of things, the profitability of the Petroleum business isn't material to our overall pre-tax income delivery at the consolidated level. But there is definitely a nice stream of benefit there relative to the way we've operated in the past. And the third is just the rebranding as we move forward with an industry leader. So we really like this deal, Vishal. It's great for the customer. And we -- most importantly, it kicks back significant value to our core retail business on an ongoing basis.
Vishal Shreedhar: And I just want to switch gears here to Helly Hansen. You talked about some good growth in the U.S. Obviously, in the past, you've talked about expanding or contemplating, taking your brands, many of them which are very strong and exploring opportunities to sell those more broadly internationally. I'm wondering if this is something we should look at and consider as you reflect upon the opportunities associated with the other brands? And how near-term of an opportunity is this for a growth driver for Tire?
Gregory Craig: Greg, do you want to start or do you want me to start?
Greg Hicks: Yeah, let me start with just Helly. Glad you called it out. A really strong quarter, strong revenue, good margin expansion relative to last year. The core sport wholesale business really drove the way, I think it was a 40%-plus growth rate over last year. And with strong growth in e-commerce, domestically, the brand in Canada double-digits which as you've talked -- you've heard us talk about is a big area of focus and lots of traction in the D2C channel, specifically in the U.S. As it relates to the own brand portfolio beyond the kind of the walls of Canada, so to speak or the confines of Canada, it's still very modest sales and income delivery for many activity beyond Helly Hansen. We've got a little bit of activity with Woods. And we're really pleased with some of our work efforts around the Sherwood brand, as an example which has a small but growing global presence. And I wouldn't -- as we've kind of outlined the big drivers of value delivery in our Investor Day, extending own brands internationally isn't one of our key focus areas on a go forward basis in the short to medium-term.
Operator: Our next question is from Chris Li with Desjardins.
Chris Li: Sorry if I missed it earlier. Gregory, just a couple of maybe modeling type questions. You mentioned I think in the beginning that for Q2 the revenue impact from some of the shipments because of the BC fire is about CAD150 million to CAD200 million. I was wondering if you can share with us what would that be in terms of earnings before tax impact? I think the impact was around CAD20 million in Q1. Do you have a number to share for Q2?
Gregory Craig: Let's just -- it's Gregory here, Chris. Give me a chance to make an overall comment on this. We talked a lot about do we feel the need to kind of add this disclosure in as we went through the quarter? Because to be honest, if we sell whole of the roof and it's difficult really to know when this remediation is going to be complete. I think -- so what we try to do is estimate our best view in terms of where the world is right now. And as Greg said earlier, we think we're going to pick all this back up again. But we need to get through the remediation efforts. We need to get through the next few months. And the team is going full out on this, to Greg's comments earlier. Really pleased with the progress that they've been able to achieve. It has been phenomenal. So what we wanted to do is highlight a range of where we thought kind of revenue would be impacted. I mean, simplistically, to me, if you want to use something, you could just use kind of an average margin rate for the Retail segment, if you'd like. It's probably a bit -- I would use that directionally as to what you're going to do at this point. I think the bigger question we're going to have is, we're going to need to update that as we get into the second quarter once we actually find out what the remediation efforts were. And I think that's a bigger update than anything else, Chris. So for all of us, to be frank, this is going to be an estimate at this time that that might have some variability still in it. Kind of one way or the other, like maybe the team gets this done faster. But we wanted to give you the best estimate we have as we're sitting here right now and that's what we've tried to do.
Chris Li: And my other question is just on the SG&A expenses at the retail level and in particular, the investments that you're making on the IT-based -- the cloud-based investment. I know you don't disclose what the number is but let's say for argument sake, this year, you're investing CAD100 million of IT-based investments that are going through your P&L statement this year, is the way to think about next year is that those CAD100 million will not going to re-occur, so you do actually get a bit of a step down because these are obviously more one-time in nature or are they actually recurring that the run rate is going to be this level going forward?
Gregory Craig: So let's try to take -- first of all, I'm not -- I mean, I'm going to say nice try first. I'm not going to give you that. But I will give you a little more color on what I think you're poking at. So let's say for a second that our IT spend doesn't change in a full 12-month period, just as an example. What I'm trying to highlight in my comments is, right now, we've not -- we're not at the mature mix of kind of cloud-based versus non-cloud-based. I think we're still a few maybe 2, 3 quarters until we're there. And frankly, that's another thing I think we'll have to keep updating on as we move forward, because let's assume for simplicity that it will be the case. I think once you -- once we're at kind of that mature level of investment or what percentage cloud-based is, a year after that, assuming spend was flat, then I'd say, you should expect the same type of expense in any given quarter. So there's 2 things right now. We are seeing increases in spend for IT. That is true which I think will start to level off from the increase perspective. But more of that spend will be attracted to the P&L or will reach the P&L because it will be cloud-based as we're growing the percentage from where we are right now towards more cloud-based spend. Does that make sense, Chris?
Chris Li: Yeah, I think so.
Operator: Our next question is from George Doumet with Scotiabank.
George Doumet: I just wanted to double click on that April 3% comp. Can you maybe talk, was that all strength related to weather or were there other categories in there? And generally speaking, can you talk a little bit about promo levels by maybe by category and kind of where you see those promotion levels heading to kind of as you look through the year?
Thomas Flood: Yeah, George, it's TJ. Just a little bit more color. As we said, we're -- through April, we're up 3%. And particularly where we see the weather has broken in areas like Alberta and in the Prairies, we've had particular strength and particular strength in our spring/summer businesses. I mean, good weather obviously helps us on numerous fronts on the business itself but also traffic into our stores. So we're seeing good points as I described earlier in April. We do expect promotional intensity likely to heat up, particularly in the discretionary categories. If you look at the competitive landscape and we articulated it coming into Q1 that we were heavy on the spring/summer side of inventory. I think that's something that's prevalent in the industry, not just in spring/summer but just the inventory levels in general on the discretionary side. So I think we are going to expect some promotional activity to heat up here. But when you look at it in the context of our business, we feel very good about our ability to not only manage our margins but inspire consumer demand with all of that. All of the tools that we have in our arsenal, whether it be from Triangle or our discounting program through our flyer and all of our analytical models there. So that's a little bit of a view going forward. Once we get through Q2, we'll probably have a better ability to tease out kind of weather versus consumer sentiment at this point.
George Doumet: Just for my follow-up on inventories, can you talk quickly about, I guess, level of comfort, quality in inventory in general? And excluding the unit cost inflation in there, can you maybe talk about kind of the cadence of normalization that you would expect to go through maybe over the next couple of quarters?
Thomas Flood: Yeah, George, it's TJ again. Maybe I'll take this one again. There's a lot of components when it comes to looking at our inventory picture at CTR. So let me just give you a snapshot of where we are today and then I can walk you through what we think that means going forward. On the corporate side, we continue to make strides in managing our inventory as our rate of growth is down versus the rate of growth last quarter. So you would have seen in the MD&A where we're at. So we've come down in terms of a growth on the corporate side. And while it's up, you mentioned inflation, we do have growth. 40% of that on the corporate side of things can be attributed to inflation. So we're heading in the right direction in terms of the rate of growth and we're going to be continuing to manage our inventory very surgically. And on the dealer side, as Gregory mentioned, they're only up slightly year-over-year in inventory and that's entirely attributable to inflation. So they're in much cleaner shape. So when we look ahead here, as Gregory mentioned, you've got a couple of components as you look into the back half of the year. Dealers did finish with a little bit higher inventory level in Christmas decor. The winter seasonal stuff, we kind of -- although it's a little bit elevated, nothing for a major concern but it's very important to understand that as you look to the back half of the year, 2/3 of our inventory comes from non-seasonal product. 2/3 of our shipments, I should say, to dealers comes from non-seasonal products. And it's a bit too early to tell what that looks like. So we'll -- as we get through Q2, we'll be in a better shape to kind of understand or be able to prognosticate what the POS to revenue kind of ratio will look like. But we're feeling good about our inventory right now and we're making progress to balance that by kind of bringing our inventory down but also being there where we see the consumer demand.
Operator: Our next question is from Mark Petrie with CIBC.
Mark Petrie: Just to follow-up on that topic actually, TJ, on the dealer inventory. So you're still higher -- they're still higher on sort of spring/summer seasonal, also on Christmas decor a little bit and then there's inflation. So is it fair to say that their core inventory or inventory on core goods is lower? And what do you attribute that to?
Thomas Flood: Yes, I think -- it's TJ again here. I think that's probably well said. I think the big difference now as we go forward with the dealers is I think you're going to find that they're going to draw inventory much closer to when the POS comes. And what we had seen during the pandemic is just given the scarcity of supply, they really pulled forward their inventory buys which created a much different revenue profile for us. They've adjusted that going into this year because they feel much better. I mean, fire notwithstanding, they feel much better about our ability to fulfill the demand that they have. So I think you're going to see a bit of a convergence on revenue to POS for the rest of the year. But overall, with the base business, to your point, they're a lot cleaner. And when I say base business, thinking about things outside of spring/summer and the winter seasonal stuff, they're much cleaner and they -- most of their inventory growth rate now is inflationary-based. So we'll get through Q2 and be able to provide a little bit better color on what the back half of the year looks like from that perspective.
Mark Petrie: And then, I guess, probably for Gregory. Can you just elaborate on what would drive the MSA accrual to be higher than the historical average in any given period? I mean, I know it's not really overly material to Q1 but I just want to make sure that we sort of understand the drivers of what actually would drive that accrual in each period.
Gregory Craig: Yes, as I said kind of I think in the remarks, Mark -- and this is Gregory, by the way. There's an overall dealer contract that governs how we share kind of all of our billions of dollars of cost and margin and this is kind of one of the elements. So it contains, as I said, elements of cost, elements of margin. And really, all this does is just as those elements might change from year-to-year, quarter-to-quarter, it would reflect kind of change from that perspective. But you've given me the window, so I'm going to take it. The reality is, this does not have an impact for the full year. I mean, I just want to keep reiterating that to make sure that everybody understands. Old accounting, new accounting, whatever we're going to recognize for a full 12 months is still the same amount we're going to recognize. And Karen and team, the IR team will be available to help, because I know this is new and we've added some disclosure -- enhanced disclosure on the website as well to kind of help you guys work through this. And we're available after the call to keep building that through. But that's how I'd answer it. It's just one of the elements that governs -- like there's a number of agreements that we have under the master dealer contract. This is one of the pieces of it.
Operator: There are no further questions registered at this time. I would like to turn the meeting back over to Greg.
Greg Hicks: Thanks, Valerie. Thank you for your questions and for joining us this morning. We look forward to sharing more at our Annual Meeting of Shareholders at 10 AM today. Bye for now.
Operator: Thank you. This will conclude today's earnings call. You may now disconnect.